Operator: Ladies and gentlemen, thank you for standing by. Welcome to Axalta's Third Quarter 2021 Earnings Conference Call. All participants will be in a listen-only mode. A question-and-answer session will follow the formal presentation by management. Today's call is being recorded, and a replay will be available through November 2. Those listening after today's call should please note that the information provided in the recording will not be updated, and therefore, may no longer be current. I will now turn the call over to Mr. Chris Mecray. Please go ahead, sir. You may begin.
Christopher Mecray: Thank you and good morning. This is Chris Mecray, VP of Investor Relations and Treasury. We appreciate your continued interest in Axalta and welcome you to our third quarter 2021 financial results conference call. Joining me today are Robert Bryant, CEO; and Sean Lannon, CFO. Yesterday afternoon, we released our quarterly financial results and posted a slide presentation, along with commentary to the Investor Relations section of our website at axalta.com, which we'll be referencing during this call. Both our prepared remarks and discussion today may contain forward-looking statements reflecting the company's current view of future events and their potential effects on Axalta's operating and financial performance. These statements involve uncertainties and risks, and actual results may differ materially from those forward-looking statements. Please note that the company is under no obligation to provide updates to these forward-looking statements. This presentation also contains various non-GAAP financial measures. In the appendix, we've included reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures. For additional information regarding forward-looking statements and non-GAAP financial measures, please refer to our filings with the SEC. I'll now turn the call over to Robert.
Robert Bryant: Good morning, everyone. I'd like to welcome you to our third quarter earnings call. Our third quarter profit highlighted Axalta's excellent execution against the challenging macroeconomic, supply chain and cost environment. Our earnings exceeded not only our preannouncement in September, but also our original third quarter guidance provided in July. I would like to thank all Axalta employees for their exceptional efforts in the third quarter. But I especially want to recognize and thank our manufacturing, supply chain and procurement teams for their herculean efforts to serve our customers in a very difficult environment and to enable the results we achieved. Drivers of the performance in the quarter included continued broad-based demand recovery within Performance Coatings, as well as solid ongoing pricing traction and continued cost discipline across all businesses. These helped to offset persistent raw material inflation and supply chain constraints, with Mobility Coatings facing unprecedented customer production impacts, principally from semiconductor chip shortages, which continued through the quarter. Axalta recorded ongoing strong year-over-year sales growth of 6% compared to the COVID-19 impacted prior-year quarter. Driven by growth in all end-markets other than Light Vehicle, which was notably impacted by ongoing customer production constraints. Reported growth included a 4.5% positive mix contribution and a 1.8% M&A contribution, offset by a 1.6% decrease in volume. Volume was positive in Refinish, Industrial and Commercial Vehicle, and price mix was positive in all 4 end-markets. Our price-capture this cost inflation cycle has been faster than the previous 2017-2018 cycle, and we expect to fully offset current cost inflation by early 2022 on a run rate basis. Refinish demonstrated continued recovery from 2020 pandemic impacts with total net sales up 10.4% year-over-year and also up slightly versus the third quarter 2019. Refinish underlying demand remained essentially stable sequentially from second quarter with modest ongoing recovery from some regions linked to economic and pandemic recovery. Refinish volumes remain below 2019 levels by mid-single-digits, which remains very encouraging, leaving further room for net sales recovery as we continue to expect mobility patterns to largely return to more normal levels over time. Industrial net sales increased an impressive 19.5% over a strong prior-year quarter, including approximately 4% acquisition contribution, which was also a double-digit rate of improvement from the second quarter of 2019, given ongoing global demand strength. Mobility Coatings' net sales declined 10.1% in the quarter, and specifically 14.8% in the Light Vehicle end-market as the segment and end-market remains constrained by ongoing semiconductor chip shortage for OEM customers. Commercial vehicle net sales increased to solid 9%, even including some customer supply constraint impacts. These impacts were greater in the third quarter in net sales terms as well as build impacts, with no easing in the supply chain during the period, which was markedly different than the expected improvement that market forecasters had called for in July. Third quarter adjusted EBIT was $146 million versus $210 million in the same quarter last year, which was a record quarterly profit, given notable cost measures we have put in during the height of the COVID pandemic in 2020. Adjusted EBIT for the third quarter included the impact of significantly higher variable cost inflation of approximately 21% and the impact in net sales of approximately $70 million in Mobility due to customer supply chain shortages. And headwinds from the absence of about half of the temporary 2020 cost savings of approximately $50 million we had quoted for the total company. Third quarter demand conditions at the end-consumer level across our coatings markets remained fairly robust. Refinish witnessed ongoing improvement in Mobility metrics across various countries, where COVID-19 related restrictions had eased since the spring, also supported by incremental vaccinations globally. Refinish net sales dipped sequentially as expected due to seasonal buying patterns from distribution customers. But Axalta's global body shop activity remained steady and showed signs of firming across most regions. Axalta made net body shop and net stock point gains during the quarter in all geographies, as our industry-leading waterborne and solventborne technologies continue to take share. We were pleased to close the acquisition of U-POL in mid-September and are now engaged in initial integration steps, which are all progressing well. We're extremely pleased with the transaction and fully expect to generate the planned returns, which are primarily generated from a combination of initial highly-visible cost synergies, and then more materially to business growth that we expect to leverage in part, by taking advantage of the combined company's strengths across Global Refinish markets. As we previously noted, we anticipate annualized net sales of approximately $145 million and adjusted EBITDA contribution of approximately $38 million in 2021, before initial cost synergies of about $10 million, which we expect to be realized over the next 18 months. Industrial end-market demand remains strong globally across virtually all end-businesses and geographies. The business saw excellent organic growth and benefited from strategic account wins, supported by new product introductions, as well as the benefits of the new industrial organizational structure implemented earlier this year. Top-line contribution was strongest in North America, followed by EMEA, with solid growth witnessed in both building products, including luxury vinyl flooring and general industrial, including the agriculture and construction equipment product lines. Net sales growth would have been even stronger absent the effects of supply-chain constraints, which were most notable in intermediate inputs to our Powder, Building Products and Coil product lines compounded by logistics challenges. Light Vehicle demand was clearly hampered by curtailed OEM production rates due to the ongoing semiconductor chip and other supply-chain shortages. Forecasts of global vehicle production during the third quarter continued to be cut, and we now assume around 11 million vehicles removed from global production for the full year. Consistent with our updated guidance issued in September, and at the higher end of the current industry forecast consensus range of 10 million to 11.5 million units, as shutdowns impact nearly all OEMs globally. Our forecast essentially assumes little improvement in the supply shortages seen through year-end, and are expected to continue through at least part of 2022. Despite this backdrop, we've won significant new business through the end of September that we expect to begin to ramp up during 2022. Our Mobility team has done a terrific job winning new business with our advantage technologies, service and advanced data tools. Commercial Vehicle demand remained solid in the third quarter. Those supply shortages have also impacted this end-market to a degree. We've seen notable demand strength in North America, where truck orders have remained firm since last year, and customer backlog support production rates near record highs over the coming months. Axalta continues to reinforce its position as the market leader with new customer business commitments, including those in our non-truck segments, such as recreational vehicles and sporting equipment. Our order books continue to grow and Axalta has benefiting from new business awards that will fuel growth in the diversified commercial vehicle end-market. During the third quarter, we saw substantial variable cost inflation coming from most raw material categories, as well as energy, packaging, freight and logistics. These cost pressures deepened during the quarter, and Axalta has increased its full year assumption of inflation headwinds versus our July guidance to now assume mid-teens growth for the full year and nearly 20% for the fourth quarter. We're working hard as a team to offset this inflation to be a combination of incremental pricing actions as well as continuing to focus on cost and productivity actions. With regard to pricing, Axalta has continued to implement increases across all our businesses since last quarter, which are necessary to offset persistent inflation that we have seen since 2020. Looking forward, we expect to take further actions to counter ongoing broad-based inflation expected to continue into 2022. Axalta has also focused on continuing to implement structural cost and productivity measures. We continue to benefit somewhat from the temporary COVID-related cost savings that we have continued this year with around half of those savings persisting in 2021. In addition to the ramping up structural savings from actions announced over the last year. As part of our continuous focus on sustainability, we made ongoing progress in our ESG programs during the third quarter. In supportive environmental priorities, we broke ground on a new facility in China, which will help support the increasing demand for environmentally friendly waterborne Mobility Coatings. We also showcased our coating solutions for electric vehicle batteries and motors at the Novi Battery Show in September. Finally, we're wrapping up our goal setting for ESG metrics and look forward to sharing more on this topic in early 2022. I'll now turn the call over to Sean for some additional comments.
Sean Lannon: Thanks, Robert, and good morning. Third quarter saw continued strong execution by Axalta's global team with supportive demand conditions, but clear challenges from inflation and customer production constraints. Despite those challenges, we are able to exceed our guidance construct for profitability originally setback in July, overcoming headwinds particularly late in the quarter to deliver on our top and bottom line results. Third quarter net sales of $1.1 billion represented a 6% year-over-year increase and 3% growth on an organic and constant currency basis, including a 10% increase from Performance Coatings and a 12% decrease from Mobility Coatings. Within Mobility, Light Vehicle net sales declined 17%, partly offset by a solid 8% growth result from Commercial Vehicle. These results were driven by recovery from the prior year pandemic impacted period. Refinish demand remained firm in the period showing continued recovery in most regions served, though volumes were slightly lower sequentially as expected due to anticipated seasonal order patterns. Axalta's Industrial end-markets are notable continued strength as all end-businesses showed solid top-line growth both year-over-year and versus 2019. Automotive demand at the retail sales level was also solid and even strong when adjusted for limited inventory on hand, though not translating to increased volumes in Axalta's Light Vehicle end-market due to the ongoing global semiconductor chip and other supply chain shortages that continue to impact production for global auto OEMs. Commercial Vehicle demand particularly in North America truck markets as well as recreational vehicles also remains supportive of current production rates. The volume decline of 1.6% for the quarter was driven by the significant pullback in Light Vehicle, but it was almost completely offset by solid increases from the other 3 businesses. Price-mix contribution was solidly positive, up 4.5% in the aggregate driven by improvement in both segments and all 4 end-markets, somewhat stronger in Performance Coatings versus Mobility Coatings. Mix was overall a modest headwind, which was notable switch from second quarter where mix tailwinds were significant when compared to the prior year pandemic-impacted quarter from 2020. FX translation was a tailwind of 1.3%, driven by the strength of the Chinese renminbi, the euro and other currencies during the quarter. Third quarter Adjusted EBIT was $146 million versus $210 million in the prior year quarter, given strong demand and volume trends in Performance Coatings as well as Commercial Vehicle more than offset by Light Vehicle volume headwinds, substantially increased variable input cost inflation and lower temporary cost savings versus Q3 2020. Third quarter Adjusted EBIT excludes the $19 million benefit to operating charges associated with the Mobility Coatings operational matter we have previously discussed as well as made solid progress on insurance coverage for this matter, which we expect to largely mitigate any exposure to Axalta as well as $9 million net gain on the sales of previously closed manufacturing facility, offset partly by incremental restructuring charges of $10 million and certain other discrete adjustments noted in the reconciliation tables to our posted earnings materials. The Performance Coatings segment reported Q3 Adjusted EBIT of $123 million versus $134 million in Q3 2020 driven by ongoing volume recovery and growth and drop through benefits of stronger average price-mix offset by headwinds from significantly higher variable costs and the lack of temporary cost savings, which benefited the prior year quarter. The Adjusted EBIT margin from the segment decreased of 15.8% from 19.6% in the prior year record-setting quarterly margin, given the drivers noted. Mobility Coatings reported third quarter Adjusted EBIT loss of $3 million versus income of $49 million in the third quarter of 2020. Adjusted EBIT and associated margins in Q3 were impacted by the volume reduction during the quarter due to the semiconductor chip shortages, which impacted production at the customer level and net sales volumes for Axalta. Results were further impacted by significantly higher cost inflation with modest offsets in positive pricing, which began to accrue during the third quarter. Axalta's balance sheet and liquidity profile remained solid in the third quarter. The company ended the quarter with over $1.1 billion in total liquidity, including $620 million of cash on the balance sheet and $516 million of available capacity in our undrawn revolver. Free cash flow for the quarter totaled $112 million versus $223 million in the third quarter of 2020, driven by somewhat lower operating profit and inclusive of $25 million in higher CapEx versus the comparable year-ago period. Axalta's net leverage ratio ended the quarter at 3.5 times versus 2.6 times at June 30, driven by lower trailing 12-month operating earnings and lower cash balances due to increased cash deployment for M&A and share repurchases offset somewhat by solid ongoing free cash flow. Axalta used approximately $596 million in cash from the balance sheet to fund the acquisition of U-POL, which closed in mid-September. The company also purchased $90 million in total shares in the third quarter for a year-to-date total of $214 million. Given stronger seasonal cash flows during the fourth quarter and inclusion of a full quarter of the U-POL operating earnings, we anticipate that the year-end net leverage ratios will tick-down slightly from the third quarter levels. Regarding our financial outlook for the full year 2021, despite ongoing firm demand across our businesses, we have factored in expected impacts from persistent inflation and supply chain effects, which will constrain reported growth and profit near-term. For full year net sales, we now assume net sales growth of approximately 19% including approximately 2% FX tailwinds and approximately 2% of M&A contribution. This forecast includes continued overall strength in Performance Coatings aligned with our prior assumptions, and similar negative impacts in Mobility Coatings resulting from continued auto OEM production constraints. We assume 11 million vehicles deferred in 2021, as noted in our September guidance update. In dollar terms, Mobility Coatings is expected to be impacted by approximately $70 million in net sales in the fourth quarter, and $215 million for the full year from continued supply chain impacts, which is $80 million higher than our previous forecast from July. For Mobility Coating volumes, we continue to expect perform at least in line with global market forecasts for the full year given our market positioning. Mobility Coatings net sales are expected to grow approximately high-single-digits this year versus 2020. For Refinish, total net sales have performed largely as expected year-to-date. We continue to assume that market recovery will progress gradually through year-end and into 2022, though still ending the year with volumes below 2019 levels by around mid-single-digits despite net sales expected to exceed 2019 totals. We expect to generate Adjusted EBIT of $645 million to $665 million in 2021, and adjusted diluted earnings per share of $1.70 to $1.80, versus the $1.85 to $2 anticipated in our July guidance construct. Additional income statement line items are noted in the guidance sections of our posted earnings materials. The primary drivers of the reduced range of expected profit or the impact of reduced Mobility Coatings volumes, as well as the impact of higher inflation, now expected to increase approximately mid-teens or approximately $190 million. We expect free cash flow of between $410 million and $430 million or $35 million to $55 million below the July guidance, inclusive of CapEx of $155 million for the full year. The forecast excludes outflows related to the Mobility Coatings' operational matter, which are now expected to be modest, given anticipated insurance recoveries. Looking beyond the fourth quarter, it is now apparent that the global supply chain issues and those impacting Mobility Coatings with semiconductor chips will not be fully resolved fully in the near term. We now expect that some impacts will continue well into 2022.
Robert Bryant: Thank you, Sean. In closing, I'd like to highlight that the current environment, though challenging and even historic with regard to cost headwinds and supply constraints, is one which Axalta is well-suited to manage through and overcome. This begins with the adjustments we've taken to our operating processes, our organizational structure and our leadership team in the last year. We have a great team in place and continue to execute well as seen in our reported earnings year to date in a tough climate. In addition, I want to reiterate that we have a sound and clear strategic plan in place. And we are confident in our execution and value delivery around this plan. Finally, despite the headwinds noted, we see our 2024 growth and earnings targets that we set out in May as achievable, given the strong underlying market demand across our markets around the world. Some of the adjustments to inflationary pressure that we are implementing may actually create additional value for shareholders over a longer-term horizon through a reduced cost structure and a stronger margin profile. We look forward to continuing to deliver this value and updating you along the way. With that, we'll be pleased to answer any questions. Operator, please open the lines for Q&A.
Operator: At this time, we'll be conducting a question-and-answer session.  Our first question comes from the line of Ghansham Panjabi with Baird. You may proceed with your question.
Ghansham Panjabi: Thank you. Good morning, everybody. Hope you're doing well. I guess, first question is on Performance Coatings. And I'm just trying to clarify. So if I look at the operating profit for performance, Q3 2021 versus last year, margins down almost 400 basis points. I was hoping you could kind of bridge that differential. And, I guess, on Slide 4, where you're talking about Performance Coatings, unless I'm missing something, largely offset inflation with price mix, are you implying that you're fully caught up on performance in terms of pricing? Or is there more to go? And yeah, I have a follow-up to that as well.
Robert Bryant: Hey, good morning. So the biggest driver, as far as margins versus Q3 2020 are really the temporary savings that we had implemented back during the pandemic lows. And you're seeing roughly 50% of that fall away. So that's really the biggest driver. And, yes, as far as our opening commentary, we are largely caught up on the performance side of the business as far as pricing offsetting also at this point.
Ghansham Panjabi: Okay. And then, Robert, in your comments, in terms of the early 2022 catchup on price-cost, are you starting to see a moderation or plateauing in terms of raw material costs? I guess, I'm just trying to understand what that confidence is based on.
Robert Bryant: I think the confidence is really based on our ability to continue to control our cost structure and to implement price increases to offset any incremental raw material inflation that we see from this point forward. But I think we've demonstrated in, as Sean pointed out, that price increases that we've been able to implement to offset inflation on a run rate basis to date and essentially be caught up in Performance Coating and on to total company on the road to being caught up by the first quarter of 2022 at a total company level on a run rate basis, as well as our performance in the 2017-2018 inflationary cycle, that we are able to do that. So that's what really gives us the confidence that we'll be able to offset any incremental inflation that comes as we go into 2022.
Ghansham Panjabi: Okay, so have raw material cost stabilized sequentially?
Robert Bryant: I think if you look at our raw baskets, I mean, we've seen some stabilization of key categories, namely a slight dip in monomers, in powder resins from the highest midsummer. That said, I think all categories remain elevated, and some have continued to climb, including isocyanates, pigments and liquid resins. Solvents are more level from the summer, but the recent oil price hikes will cause that product category to rise further. So I think in terms of perhaps an element of peaking, but it's hard to really confidently say that there is any sense of an easing kind of going on at the moment. So to some degree, we may see this as some of the force majeures come off over the next few months. But it's likely too early to call a turn here with oil still hovering around year-highs, and some forecasters calling for an even higher feedstock pricing. But as I said before, as we've demonstrated before, we will price through the raw material inflation.
Ghansham Panjabi: Very helpful. Thank you so much.
Operator: Our next question comes from the line of Chris Parkinson with Mizuho Securities. You may proceed with your question. Chris, you may proceed with your question.
Christopher Parkinson: Sorry, I was on mute. Good morning. Can you just quickly comment on the overall industry price discipline versus the last inflationary cycle in 2017 and 2018, whether it's worse, roughly the same, or arguably better? And how this overall just sets up for the industry to hold on to value once raws hopefully moderate, just better reflecting the value you actually create for your customers? Thank you.
Robert Bryant: Yeah, I think, overall, what we're seeing in coatings is that the timing of this raw material cycle has really been beneficial to kind of everybody getting a little bit more ahead of it than in the 2017/2018 cycle. We really started to see the inflation rear its head in the fourth quarter of last year. So we certainly incorporated that into our operating plans and our budget, as I suspect many of our peers did. So the timing of when it happened was actually quite beneficial. And it's not that you can't increase price regardless of when it happens during the year, but from fully having your commercial teams and your supply-chain teams fully aligned across the entire company, it's easier if you're kind of doing it through your natural budgeting and operating cycle. So I think that's been beneficial not only for us, but for everyone else as well. I think really, in terms of holding on to price, I think it's important to remember that in coatings, we create so much value in the non-product area of our total solution, that really as long as we're all continuing to innovate in terms of labor, energy, and the amount of investment that our customers have to make, as well as the various performance characteristics, I suspect that we will be able to hold on to pricing. And as it pertains specifically to Axalta, over the last 3 years, we have dramatically sped up our innovation engine, and are really focused on more leapfrog technologies and innovation. So I think specifically, in the case of Axalta, we're pretty confident in our ability to be able to hold on to price, given that we're delivering more value to customers, regardless of what happens in the raw material environment.
Christopher Parkinson: That's very helpful. And just for the follow-up, can you just walk us through the regional Refinish markets regarding what you're seeing versus 2019 levels? You hit on this a little in your prepared remarks. And just your perspectives on miles driven versus actual collision trends, and what you're seeing in terms of body shop flow-through, just anything to give us a sense of your platform's performance versus the industry? Thank you very much.
Robert Bryant: We continue to see gradual progress in global Refinish business metrics. In Europe, which is our largest market, Axalta's body shop activity improved from down 10% compared to pre-COVID levels in the second quarter, to down just 7% in the third quarter. We've really had great performance in Europe. We've had some material customer wins in some of the underpenetrated markets that we've highlighted for years as an opportunity. And we finally in the last 12 months, we're really…
Operator: Sorry. Chris Parkinson is not available. 
Robert Bryant: And we've seen the amount of volume that are going through Axalta's body shops in Europe recover to 93% of pre-pandemic levels. And we're also capturing price in that region, so very happy with Europe. In the U.S., Axalta's body shop activity stayed about constant between second quarter and third quarter, down around 12% compared to pre-COVID levels. We continue to outperform the market and capture price in the U.S. So we're very happy with how things are going there as well. Asia and Latin America have really improved, as per the improvement in COVID rates and reduced lockdowns. In Asia Pacific specifically, we've had very good net body-shop gains and net new stock points. So we've seen the penetration of our mainstream and our economy products there continue to be successful. So we really believe that demand will return to more normal levels over time, given ongoing vaccination progress, along with increased return to work, and then overall return to more of a more normal Mobility environment.
Operator: Our next question comes from the line of John McNulty with BMO Capital Markets. You may proceed with your question.
John McNulty: Yeah, thanks for taking my question. Just a quick one. On the auto OEM front, you had indicated you had some decent business wins. Can you give us a little bit of color on that? If it's more geographic kind of in nature or if it's new product lines on existing vehicles? I guess, how should we be thinking about what some of those wins at least characteristically kind of came in at?
Robert Bryant: So our Light Vehicle Coatings business is one significant new business this year. In fact, we won roughly a third of the business that's come up for bid this year. And we've retained about 97% of the preexisting business that came up for bid this year. So I think I'm very pleased with how our Mobility Coatings team is performing. And we've won business in all regions. And it's really been a function of service and some of the advanced technologies and data solutions that we're offering our Light Vehicle customers.
John McNulty: Got it. But that's pretty significant. Maybe just another question, on the working capital front, obviously, there is a lot of challenges, especially around with all the supply chain issues, raw material issues, but working capital definitely seems like it's crept up this year, even relative to kind of 2019, sort of taking 2020 out of the mix. I guess, as you look forward, are there levers you can pull  or clean out some of the working capital hits? Or is it really just a function of, “Hey, look, it's an inflationary period and the challenge is what it is,” and there is not necessarily a lot of things you can necessarily do about it in this type of environment? How should we think about that?
Robert Bryant: Yeah, I mean, we certainly talk about all the elements in working capital. I mean, AR is seasonally up-ticking just in Q3, but given all the pricing actions, you're seeing a further uptick on AR. That will come down in the fourth quarter per normal course. Inventory is probably single point of the biggest pressure, about $108 million of a cash bill, largely due to inflation. But that's going to be the area of potential opportunity. But as we look around, assurances of supply, it's a dynamic situation that we need to make sure we're balancing how much inventory are on hand. So we're not actually stocking out any of our customers. But we still generally target working capital percentage of annual sales of around 8%. But I'd say inventory is certainly going to be a focal point for us as we head into 2022.
John McNulty: Got it. Thanks very much for the color.
Operator: Our next question comes from line of Steve Byrne with Bank of America. You may proceed with your question.
Stephen Byrne: Yes, thank you. Robert, can you comment on the price actions? How much of that would be structural versus what fraction would you say is indexed to particular raw that flows through as a surcharge and is thus reversible?
Robert Bryant: At this point, all of the pricing that we have pushed through to offset raw material inflation has been a combination of pure price increases. And then, we do have in our Light Vehicle business, and a small piece of our Industrial business, raw material index contracts that have also had price increases. So I think you'll continue to see from a pricing perspective as we go forward, in Q4 and forward, greater price capture as we see more of those indexing contracts have more months since most of them are on a 6-month lag as the inflation flows through and those roll up in the index as you should see price capture increase in subsequent quarters even more.
Stephen Byrne: And just wanted to drill in on...
Robert Bryant: Yeah, as far as your question on surcharges, we have in the previous cycle, we actually implemented surcharges as a construct to supplement pricing. And what we found is that many of our customers that requires them to modify their systems to actually incorporate a new line item. So many of our customers just prefer that we just go ahead and put it through in price. And that's the approach that we've taken thus far this year.
Stephen Byrne: I see. Thank you. I wanted to drill in a little bit on those new products that you talked about in your press release. You got this one coat kitchen coating, where did that technology come from? Is that a cross-sell from another coating technology developed? And maybe the other one being that electrical steel coating provide some dielectric and corrosion protection, were those just transferred from other technologies you have or is this something new, and therefore, you could transfer into some other end-markets?
Robert Bryant: Yeah, thanks for that question. We're really - as I said before, we really over the last 3 years have tried to make a step-change in the level of investment as well as the level of return in our technology and in R&D. And, seen in our Wood Coatings business, the one coat kitchen cabinet application, that's something that was developed internally, inside Axalta over the last several years. So kudos go to our R&D and technology teams. And then, in terms of the multiple innovations that you've seen in our energy solutions business, I think you'll continue to see more and more coming out of there. In fact, most of you already know that Axalta is one of the world's leaders in coatings for electric motors, with our wire enamel, steel coatings and impregnating resin products. And these products are used on a variety of applications, including transformers, wind, energy, and other electronic applications. But we also have significant offerings in battery coatings for battery cells, battery modules, and battery packs for dielectric and corrosion protection, fire protection, EMI shielding and thermal management. And you're going to be hearing a lot more about our energy solutions portfolio in future quarters.
Stephen Byrne: Thank you.
Operator: Our next question comes from the line of Jeff Zekauskas with JPMorgan. You may proceed with your question.
Jeffrey Zekauskas: Thanks very much. The other day, Celanese was thinking through global auto production for 2022. And what it said was that as a base case, I thought it would be flat with 2021, and it felt that the IHS estimates were really much too optimistic. And, I think, they thought that the first half in particular really be very, very different from the fourth quarter of 2021. Do you have any views on the subject or you gravitate to the IHS estimates?
Robert Bryant: Jeff, I think, our view at the moment, we've taken a lot of time to speak with our customers as well as different people in the semiconductor supply chain. And, I think, our view would be somewhat similar, we expect the semiconductor shortage to continue through at least part of 2022. How much of 2022 is not yet clear, it depends on a number of supply and demand variables and how much production they're able to get back up in the size of chip that automakers typically use as well as some of the reconfiguration of some of the tier 1 systems that go into vehicles. There are some options that some of the OEMs are looking at there, in order to route some of those systems through more central control units, and to be able to use some of the newer chip sizes, as opposed to some of the older ones. So, I think, everybody is focused on it and everybody is working on it. Now, in terms of the timing of the resolution of that, I think, it is not a reasonable assumption, not an unreasonable assumption, I mean, to assume that that continues to be a headwind through at least the first half of next year. Beyond that, we're just not experts in that field, and we have to rely on what we're hearing from customers as well as from others in the supply chain.
Jeffrey Zekauskas: Okay, great. And then, secondly, you talked about catching up with raw materials in Performance Coatings. Are you caught up both in auto Refinish and Industrial? Or is auto Refinish more than caught up, but Industrial is lagging? And is the rate of raw material inflation in Industrial, the same as it is in auto Refinish or auto OEM? Or is it a different rate, because the raw materials you use as different?
Sean Lannon: Yeah, answer your last question for us, Jeff, I mean, it's just similar rate, the variable margins in Refinish are higher. So you're feeling a little bit more pain at the bottom line for Industrial. But I'd say that overall rate is very similar between Refinish and Industrial. As far as price for all, again, overall performance we're caught out, I would say we have a little bit more on Refinish on average as compared to Industrial.
Jeffrey Zekauskas: I'm sorry, a little bit more means you have more…
Sean Lannon: So we have a little bit more price on the Refinish side. But, again, we're very, very happy with the progress we've made across both of those end-markets to date.
Jeffrey Zekauskas: Yeah. Okay, good. Thank you very much.
Operator: Our next question comes from the line of Vincent Andrews of Morgan Stanley. You may proceed with your question.
Vincent Andrews: Thanks very much. Could I just ask on the new Light Vehicle wins, you mentioned that they were broad across regions? But is that new capacity from customers? Is it a new entrant? Or is it share gain at existing customers at striving those wins?
Robert Bryant: I think, we'd prefer not to get into too many details here. But it is share gain at existing customers, as well as other customers where maybe we might have had a lower share of wallet or share of pocket. But I would highlight that in our Asia business, we have been successful in securing new business at Chinese OEMs over the last 12 months.
Vincent Andrews: Okay. And then, if I could ask you, you referenced in the prepared remarks that at some point in the quarter, maybe there have been concerns at body shops about labor parts shortages. But you didn't think that that kind of ultimately came to be too meaningful of an impact? So is that something that you're now sort of - it's off the list of things to worry about? Or is that something that we need to keep monitoring as we go through the next few quarters?
Robert Bryant: Well, I think at the moment, it's certainly something that we're working to support our Refinish customers with in terms of just maximizing the productivity of our products as well as the data that we supply them, so that they can maximize the effectiveness of labor. But, yes, you've seen in the industry, the body shop industry is also not unaffected by the shortage in labor. And then also, when it comes to parts shortages and supply chain issues, they've also not been unaffected. But I don't think it's anything specific to that industry, it's just all the chaos that's going on right now globally in the supply chain, that things get delayed in transit and so forth. So, I think, again, it's very much a general comment as opposed to a specific observation.
Vincent Andrews: Okay. That's very helpful. Thanks very much.
Operator: Our next question comes from the line of PJ Juvekar with Citi. You may proceed with your question.
PJ Juvekar: Yes, good morning, Robert. You spend some time talking about Refinish market and miles driven. It seems that the morning rush hour and traffic jams are back, starting in September, October, when the lockdowns were eased. And it seems like people are driving more to work rather than taking mass transit, they want to be in their own cars. That's kind of a phenomenon we saw back in China back about a year ago. Are you seeing a similar phenomenon in the U.S.?
Robert Bryant: Well, I think, we are seeing certainly a pickup in driving activity if we're talking specifically about the U.S. in morning and afternoon traffic, but it certainly has not recovered to pre-pandemic levels. We also do see more traffic throughout the day. And in terms of the comparison to China, at the time period if that occurred kind of hybrid work model was not really fully implemented in the country at that time, when it was back to work, people were essentially back to work pretty quickly. So, I think, we're comparing 2 things that are comparable and interesting to compare, but not necessarily comparable, because they occurred at 2 different points in time with 2 different dynamics in terms of the office environment.
PJ Juvekar: Thank you. And then in Commercial Vehicles, you mentioned that production rates are near record highs. I mean, one would think that the chip shortages impacting, Light Vehicles are also impacting larger heavy-duty trucks and Commercial Vehicles. Is that the case or maybe this Commercial Vehicles don't need as much sophistication as there is not as much chip usage, and so they can continue to produce?
Robert Bryant: That's correct. The number of chips that are required in the heavy duty truck environment is much lower than it is in the Light Vehicle environment. So we're not seeing the same degree of impact from the semiconductor shortage to our Commercial Vehicle business, as we are in Light Vehicle. But, I think, if we look more broadly at commercial vehicle, I mean, the current picture from industry forecasters continues to be pretty positive in better rebound in 2022, to some degree compared to 2021 volumes, just if we look at kind of backlog. I think, North America Class 8 trucks right now, or 279,000 in Class 4 to 7, or I think they're about 145,000, and that's the highest level that they've been at since January 2019. So I think that's going to set up really well for us given our strong position in that business.
Sean Lannon: And just to put some data on that, I mean, heavy duty truck Class 4-8 is expected to grow around 20%, excluding Asia, and the comparable number for 2022 to Robert's point is around 14%. So we're very positive on the outlook in that market.
PJ Juvekar: Great. Thank you.
Operator: Our next question comes from one of Kevin McCarthy with Vertical Research Partners. You may proceed with your question.
Kevin McCarthy: Thank you, and good morning. Robert, just wondering if you could provide an update on U-POL now that you've owned it for nearly 6 weeks, how is the integration going? Are the challenges of inflation and supply constraints any different from your other businesses? And maybe for, Sean, what will be the step up in amortization associated with that deal in the fourth quarter?
Sean Lannon: So 6 weeks and as you point out, Kevin, I'd say, as we call it, the value creation planning is going extremely well. It's progressing as per our original value creation plan. We've seen really good reception from U-POL employees as well as from Axalta employees. We've been leveraging shared learnings and areas of expertise between both companies, because frankly, there's a lot that Axalta can learn from how U-POL operates as much as there is, what U-POL can learn and leverage from Axalta. We're moving quickly on the cost synergies, and we're ramping up commercial synergies given the strong pull from our customer base. In fact, the desire of our customer base to begin carrying U-POL products has frankly been overwhelming. And with regard to price, that was one of the first conversations that we had as soon as we own the business. And, yes, they are seeing some of the same raw material inflation and logistics and energy challenges that anybody else operating a business in today's world is seeing. So we have spoken as a team about that and half price increases underway in that business.
Robert Bryant: Kevin, on your amortization question, I remind you, the purchase accounting is still very preliminary, but DNA for that business is going to be about $20 million on an annual basis. So you can expect about $5 million in the fourth quarter.
Kevin McCarthy: Thank you for that. And then, secondly, I want to come back to raw material cost inflation, if I understood your comments correctly, you're looking at a rate of 20% year-over-year in the fourth quarter. One of your peers in their conference call put out a rate of 30% year-over-year, and perhaps it's a bit unfair of me to ask, but it's obviously quite a wide range. And so, I'm curious, if you're cognizant of any mix differences or differences in business practices that would account for a lower rate of inflation in your own case versus some peer companies?
Sean Lannon: Yeah, Kevin, it's hard for us to comment on competition. My suspect to mix is part of the story there. But we don't know strategically, how they price their raw, so it's hard for us to really react to that.
Robert Bryant: And then the other element Kevin, as I think when people talk about raw material inflation, is it just pure raw material inflation? Does it include logistics? Does it include packaging? Does it include energy? Those are all questions that could also account for the differences in the numbers.
Kevin McCarthy: Do you have energy in there?
Robert Bryant: Yes, we do.
Kevin McCarthy: Okay. Thank you very much.
Operator: Our next question comes from the line of David Begleiter with Deutsche Bank. You may proceed with your question.
David Begleiter: Thank you. Robert, Mobility Coatings lost money on an EBIT basis in Q3. Do you think it will lose money as well on the EBIT basis in Q4?
Robert Bryant: So, Dave, I mean, we're expecting to be marginally better, but it's very marginal, but we do expect to be positive in the fourth quarter.
David Begleiter: Very good. And just on the temporary cost savings headwinds in 2022, how should we think about those?
Robert Bryant: We haven't provided guidance yet. I suspect we will continue to maintain some of the discipline around travel and entertainment, but it will be modest compared to what we're seeing in 2021.
David Begleiter: And combined us what the impact was in 2021 versus 2020?
Robert Bryant: So we ended up doing about $150 million in temporary savings, it's somewhere between $50 million and $60 million in temporary savings for 2021.
David Begleiter: Great. Thank you very much.
Operator: Our next question comes from the line of Mike Sison with Wells Fargo. You may proceed with your question.
Michael Sison: Hey, guys, good morning. Just a quick follow-up on Mobility Coatings, clearly, I understand why margins are where it's at, given build rates this year, but where do you think those margins can get back to? And how do you sort of get there over time?
Sean Lannon: Well, I think, overall, when we look at that business, again, it is a very good business. The team there has made several changes to the operating model into the cost structure. And, as I've mentioned, we've won a fair amount of business in our Mobility Coatings business both on the Light Vehicles as well as the Commercial Vehicle side. On the technology and technological development, we've launched some great products, and we have some more great products in the pipeline that are going to be rolled out. So, I think, when we see the semiconductor situation start to get better and then eventually become fully resolved. We're going to see a tremendous growth in volume in that business, and it should fall through at very attractive margin. So it's painful now. But we have a very good business and we're continuing to invest in that business both in our people, as well as our technology to position it, so when that snapback does happen that we're extremely well positioned.
Michael Sison: Right. Thank you.
Operator: Our next question comes from the line of Josh Spector with UBS. You may proceed with your question.
Josh Spector: Yeah. Hi, guys, thanks for taking my question. So just looking at your updated guidance for the fourth quarter, if I back out the incremental M&A, you're maybe guiding for about 5% sequential sales increase. I was wondering if you could kind of quantify that between how much you're assuming for sequential pricing versus volume coming back. And on the volume side, are you assuming any sequential improvement in any segment other than Refinish?
Sean Lannon: So we're expecting net sales to be up in every end-market Q4 versus Q3. We actually haven't quantified price versus volume for Q4. But the way to think about price for the full year, it's going to be somewhere between 3.5% and 4%, so you can analyze that based on what you're seeing Q3 year-to-date.
Josh Spector: Okay, thanks. And just on the Mobility side, talk a lot about new wins there. I'm curious, how much of the portfolio is typically rebid each year and thinking about in the context of price mix for next year? How much of your non-indexed pricing contracts in the Mobility side have already been re-priced, and you expect to therefore get prices of 2022 on those contracts?
Sean Lannon: So typically what we'll see is about a quarter of the business in Mobility will come up for bid in any given year. And then in terms of the pricing dynamics, obviously, the index contracts, they adjust themselves, and then contracts that are off index, those are negotiations that occur between the manufacturers and the OEM customers. But we don't comment on the specificity of those negotiations.
Josh Spector: Okay. I guess, if I could try, if I look the index portion plus the portion that's been rebid now. I mean, is it fair to say 75% of your portfolio would see better pricing next year?
Sean Lannon: No, I think that number is too high.
Josh Spector: Okay. All right. Thank you.
Operator: Our next question comes from the line of Bob Koort with Goldman Sachs. You may proceed with your question.
Robert Koort: Thank you. Good morning. I wanted to ask some more on the raws situation, I guess, I've seen spot prices propylene, phenyl methacrylates, epoxy kind of flattening out, it looks like maybe the worst of the storm has passed, but it wasn't sure about is how much of you guys had to go out into the spot markets and maybe get tagged with exceptionally high prices? How many force majeures do you guys still have out there? What are sort of the key raw materials that are still giving you some indigestion here as you go into the end of the year?
Robert Bryant: Well, Bob, we continue to see tightness in various materials due to supply chain disruptions, and also some alternative value chain demand, isocyanates, acrylic emulsions, and certain polyester resins have been the most challenging, and acrylics of - as we talked about earlier, impacted the industrial business perhaps a little bit more so than the other businesses including wood coatings. While for isocyanates, the biggest impact has really been in North America from the HDI side. Now, despite that market situation, we've secured supply and have largely been able to keep pace with the strong demand for our products. But we have seen some impacts on sales volumes as well as impacts at the customer level, which has constrained getting everything made in shift at the end of any given month or any given quarter. So, I think, in terms of your comment about things peaking and leveling off, certainly, we're seeing it in some areas. But we could kind of tick through all the categories. There are some unique elements at specific SKU levels that exist in each one of the categories. And then, the other element is just, if you go through some of the other categories of packaging; plastics and tin plate are up; oil, Brent currently in the mid-$80s, potentially forecasting to be around $90 or so for next year; energy inflation, natural gas is up 76% in the U.S. and about 230% in Europe. And then in logistics, everyone is seeing cost inflation from shortage of drivers, port workers, warehouse workers, slow turnaround of ships in China that's adding to delays. And logistics companies, at least in Europe are certainly importing drivers from other countries, and having to pay higher wages, which translates into wage inflation for them, and then higher costs for logistics carriers. So I think we see an environment in which we expect to see some continued cost inflation as we go forward. But in terms of the tsunami that we saw on the pure raw material side, at least at the current oil price level, the peak of that will probably occur, either occurred in Q3 or will occur in in Q4. But we still have some of these other cost categories that have inflated that we expect will carry forward. Now, again, we will have priced through that, but that's just kind of the nature of the market that we're in at the moment.
Robert Koort: Got you. Makes sense. And then, have you changed, given these challenges, have you changed the way you procure raw materials? Is there anything unique or different that you've done to give yourself more flexibility? And do you typically buy your raws on monthly, quarterly, semiannual contract? Can you give us a sense of what the portfolio of contract terms might look like?
Robert Bryant: So I think everything that you could imagine that any company is doing right now, in terms of managing their supply base and the current raw material environment, we're obviously doing. We're first and foremost focused on keeping our customers supplied and our customers happy. In terms of our existing supply base, we've been working with them on really defining are there - there are certain SKUs for maybe C-type products or lower volume products that we can eliminate to make sure that the A and B movers, that we're getting increased allocation in terms of some of those raw materials, we've been doing that. I think everybody has been working to an extent with alternative suppliers. But, it's a tough market out there. But again, as I said in my opening remarks, I think our procurement and our supply chain and manufacturing teams have just done really a yeoman's job over the last several quarters in managing the situation. And I think that we may actually have fared a little bit better than most.
Robert Koort: Great, thanks for the help.
Operator: Our last question comes from the line of Laurence Alexander with Jefferies. You may proceed with your question. Laurence, you may proceed with your question.
Laurence Alexander: Hello.
Robert Bryant: Hi, Laurence.
Laurence Alexander: Can you clarify, you made a comment about mix headwinds, what should the dynamic for mix be as volumes improve outside the auto chain? And then, as the auto chain improves, is that a mix benefit or a mix drag?
Sean Lannon: I mean, by and large, you should assume mix going forward should be somewhat steady. We did see a little bit of mix headwinds in the third quarter, reversing from a significant amount of mix benefits in the second quarter. And, quite frankly, it was just an easier comp versus the lows of the pandemic in 2020, that we saw such a staggering mix benefit come through in particular on the Refinish side of the business.
Laurence Alexander: Okay, great. Thank you.
Operator: Ladies and gentlemen, we have reached the end of today's question-and-answer session. I would like to turn this call back over to Mr. Chris Mecray for closing remarks.
Christopher Mecray: Well, thank you, everybody, for joining us this morning. And we're available through the day in the next couple of days if you have any follow-ups, but thanks for joining us. Good day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation. Enjoy the rest of your day.